Operator: Ladies and gentlemen, greetings and welcome to the Simpson Manufacturing Third Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Madeleine Myers. Thank you. You may begin.
Madeleine Myers: Good afternoon, ladies and gentlemen and welcome to Simpson Manufacturing Company's third quarter 2018 earnings conference call. On this call, the company may discuss forward-looking statements such as future plans and events. Forward-looking statements, like any prediction of future events, are subject to factors, which may vary and actual results may differ materially from these statements. Some of these factors and cautionary statements are discussed in the company's public filings and reports, which are available on the SEC or the company's corporate website. Please note that the company's earnings press release was issued today at approximately 4:15 PM Eastern Time. The earnings press release is available on the company's website, at www.simpsonmfg.com. Today's call is being webcast and a replay will also be available on the company's website. Now, I would like to turn the conference over to Karen Colonias, Simpson's President and Chief Executive Officer.
Karen Colonias: Thanks, Madeleine, and good afternoon, everyone. I'm pleased to discuss our third quarter results with you today, as well as provide an update on our progress towards our 2020 Plan. It's been one year since we announced our 2020 Plan to provide more clarity into our longer-term strategy and financial objectives. Today, I'm pleased to confirm we remain on track to reach our key financial targets under the 2020 Plan. These include, achieving organic net sales compounded annual growth rate of 8%, reducing our total operating expenses as a percent of net sales to the 26% to 27% range, resulting in operating income margin of approximately 21% to 22%, doubling our inventory turn rates and improving our return on invested capital to a range of 17% to 18%. I would also like to acknowledge the hard work and commitment of all of our employees, who remain dedicated to playing their part in helping us achieve these goals. We've made solid headway over the past 12 months, thanks to their efforts, and I look forward to discussing our most recent progress during the third quarter with you today. First, let's review some highlights from our third quarter financial results. We had a solid third quarter. Our net sales increased 8% year-over-year to 284.2 million, driven by growth in sales volume throughout almost all areas of our company. Net sales were also positively impacted by increases in our average selling prices. On July 1st, we passed on relatively small price increases for many of our products with the most significant being an 11.5% price increase in the US on the bulk of our wood connector products, which we enacted in response to rising raw material costs. As we mentioned on our last conference call, we have a process in place to help prevent our customers from excessive pre-buying. The increase in net sales was further supported by US housing starts, which are a leading indicator for approximately 60% of our business. In the third quarter, housing starts rose by approximately 3.5% versus the comparable period last year. Importantly, housing starts remained quite active in the western and southern regions of the US, where we provide a meaningful amount of content into homes due to stricter building design requirements from wind and earthquake concerns. While US housing starts moderated slightly in the third quarter compared to the second quarter, demand so far in the fourth quarter remained steady, subject to typical seasonality we experienced as a result of fewer shipping days from holiday related closures and a slowdown in construction activity during the winter months. In addition, we expect slower demand in the southern region of the United States, as it recovers from Hurricane Florence and Michael. We continue to expect US housing starts will increase at an annual mid-single digit rate over the next few years. Europe's net sales increased approximately 2% year-over-year, excluding the impact of the Gbo Fastener sales from Romania and Poland, which were included in the third quarter of 2017 as well as impacts from foreign exchange. Our positive third quarter net sales and strong gross profit margin of 47% produced strong third quarter earnings of $0.95 per diluted share, an increase of 61% year-over-year. I'd also like to comment on the operating expense improvements we achieved in the third quarter. As a reminder, while our 2018 operating expense dollars will be slightly up from 2017 based on increased commissions from higher sales, additional SAP costs to support our first go-live, and severance costs incurred in Europe, we expect to improve our full year operating expenses as a percent of sales to be in the mid 28% range compared to 31% of sales for the full year of 2017. Our third quarter operating expenses as a percent of sales were 26%, an improvement of 190 basis points year-over-year. Year-to-date, operating expenses as a percent of sales were approximately 27%, on track to meet our 2018 target and an improvement of approximately 300 basis points as compared to the first nine months of 2017. This is a direct result of our strong company culture and responsibility our employees feel to the success of Simpson, as they have been extremely dedicated to understanding, reviewing and improving costs in their respective departments. While we know we still have a lot of work ahead of us, we applaud them for a job well done. Now, I'd like to provide an update on our key operating initiatives. Many of these stem from our 2020 Plan with a focus on rationalizing our cost structure to drive improved profitability without sacrificing our competitive edge. The remainder concentrate on growing our market share and improving our technologies and systems to provide best-in-class service to our customers, a key part of our longstanding trusted reputation and what sets Simpson’s Strong-Tie brand apart. In regard to growing our market share, we continue to introduce our mechanical anchor products into Home Depot stores. The rollout is currently occurring at a slower pace than our original expectations, due to space constraints at the Home Depot stores, which require a vendor shift within the product category to create sufficient space for our product line. We remain prepared and well positioned to quickly accommodate any upticks in the rollout activity in the near future. We have also been making headway on our growth objectives in Europe, which have been supported by improved demand trends. The rollout of the complete line of Gbo Fastener products into the Nordic regions and into France continues to progress, and we experienced an uptick in volume this quarter. We are also tracking in line with expectations as it relates to increasing our presence in wood connectors in the Nordic area. Moving to operational updates, another key objective pertaining to our 2020 Plan involves improving our working capital management and overall balance sheet discipline through inventory reduction. Through these efforts, we continue to believe we can double our annual inventory turn rate by the end of 2020 without impacting our ability to deliver products to our customers. In an effort to right-size our inventory, we have developed a three-phase SKU reduction program. Following the completion of Phase 1, which involved eliminating approximately 10,000 non-moving SKUs from our ERP systems, we are now working through Phase 2 of the process, which involves the identification and removal of slow moving SKUs. We have been working to phase out these SKUs over a transition period as we convert our customers over to replacement products. We expect this to be fully completed by year-end. We've partnered with an external lean consultant to assist us in implementing the inventory reduction program. In addition, we continue to carry out lean rapid improvement events in our production facilities in the US, which have resulted in efficiency enhancements. We look forward to implementing these successful practices across all our locations as applicable in the future. All that said, while right-sizing our inventory is an element of our business that we can control, we are subject to fluctuating raw material pricing in the marketplace, which is something we cannot control. Due to the recent increase in steel pricing, we have been cautious about our steel inventory, as we believe steel prices may continue to rise in the near future. As a result, our inventory balance increased by approximately $35 million or 14%, compared to the third quarter of 2017, the bulk of which was raw material. While we remain focused on improving our inventory turns, we feel it is appropriate to build our raw material position at this time to help mitigate the potential impact of future price increases and steel availability. However, showing a very positive effort on what we can control, over the past nine months, our finished goods and work in process has increased 2% company-wide, while our volume of pounds sold for wood products has increased by approximately 10%. This is a testament for the great work being done at all our factories. In an effort to realize opportunities beyond the 2020 Plan, we have worked with our management consultants to uncover additional areas to enhance our overall efficiencies. We identified strategies to improve our operating expenses through indirect procurement and additional ways to improve our working capital. We will incur additional management consulting expenses in 2018, and into 2019, related to these projects, which are primarily success based fees. That said, the payback period for these initiatives are all within one year or less, so we view the trade-off very favorably. Our SAP implementation continues to progress. As a reminder, during the second quarter, we recast our project timeline and budget by extending the time between roll-outs in order to ensure a smoother transition. We are tracking towards the new company-wide implementation goal for completion in 2021. Currently, we are focused on rolling out SAP technology in our remaining US branches, which we expect will take until the end of 2019 to complete. Finally, we remain committed to cost reduction measures in Europe to improve our operating income margin. Today, we are tracking to our revised 2018 goal for a European operating income margin of 5% excluding severance and incremental SAP expense. Before I wrap up, I want to congratulate our independent board member, Jim Andrasick, as the new Chairman of our Board of Directors, effective January 1, 2019. As announced this morning, our current Chairman Peter Louras will not be standing for re-election at our upcoming Annual Meeting in April of 2019, as he will have reached the end of his 20-year term limit. Peter will continue to serve on the Board as a director until April of 2019. On behalf of the Board and the management team at Simpson, I would like to thank Peter for his many contributions to the company over the past 20 years. In summary, we are pleased with our third quarter performance. For the balance of 2018, we are cautiously optimistic that demand in the markets we operate will remain consistent with seasonal patterns. We are committed to executing against our 2020 Plan goals to ensure long-term sustainable growth and operational excellence, and remain confident in our ability to perform based on positive current market conditions and dedication from our valued employees. I'd now like to turn the call over to Brian, who will discuss our third quarter financials.
Brian Magstadt: Thank you, Karen, and good afternoon, everyone. I'm pleased to discuss our third quarter financial results with you today. Our consolidated net sales for the third quarter of 2018 were $284.2 million, up 8% compared to $262.5 million in the third quarter of 2017. Within the North America segment, net sales increased 12.5% year-over-year to $239.9 million, primarily due to increases in average net sales prices and sales volumes resulting from steady home construction activity. In Europe, net sales decreased 11% year-over-year to $42 million. Net sales in Europe were negatively impacted by reduced sales volume due to the sale of Gbo Fastening Systems' Poland and Romania subsidiaries at the end of 2017, which contributed $5.3 million in net sales for the third quarter of 2017. Europe's net sales were also negatively affected by approximately $0.7 million of foreign currency translations. In local currency and excluding the impacts on the businesses sold, net sales in Europe increased by approximately 2% year-over-year. Wood construction products represented 84% of the total net sales in the third quarter of 2018 compared to 86% in the third quarter of 2017. Concrete construction products represented over 16% of total net sales in the third quarter of 2018 compared to 14% in the year ago period. Our third quarter consolidated gross profit increased 12% to $133.9 million from $119.1 million in the third quarter of 2017, resulting in a consolidated gross profit margin of 47.1%. Compared to the third quarter of 2017, our gross profit margin increased by approximately 170 basis points, primarily due to increases in average product prices, which decreased material and factory and overhead costs as a percentage of net sales. On a per segment basis, our gross profit margin in North America increased to 48.8% from 47.3% in the prior year quarter as we were able to leverage fixed selling costs on increased production. In Europe, our third quarter gross profit margin was roughly flat with the year ago period at 38.2%. From a product perspective, our third quarter gross profit margin on wood products was 47.3% compared to 46.3% in the prior year quarter, and was 43.4% for concrete products compared to 35.4% in the prior year quarter. We are pleased with the direction of our new concrete strategy that we rolled out in 2017 with a focus on more profitable products. Now turning to our third quarter costs and operating expenses. As part of our ongoing efforts to improve our cost structure, consolidated research and development and engineering expenses for the quarter declined 7% year-over-year to $10.4 million. The decline was primarily due to decreased personnel costs and stock-based compensation expenses. Consolidated selling expenses for the quarter decreased 4% year-over-year to $26.9 million, primarily due to decreases in personnel costs and advertising fees, which were partially offset by increases in sales commission expenses from higher net sales, stock-based compensation expense and professional fees. On a segment basis, compared to the prior year quarter, selling expenses in North America declined by 2%, and in Europe, they declined by 10%. General and administrative expenses in the third quarter increased 8% year-over-year to $36.1 million, primarily due to higher professional and consulting fees associated with the SAP project and management consultants as well as increased legal fees and IT-related costs. These costs were partially offset by decreases in personnel costs, facility expenses and favorable net foreign currency translations. In addition, we recognized a one-time gain of $1.6 million in general and administrative expense as we repatriated $20 million from one of our foreign subsidiaries. On a segment level, general and administrative expenses in the North America segment increased by $2.6 million compared to the prior year quarter. In Europe, G&A increased by $0.2 million year-over-year. We are committed to reducing our total operating expense dollars as a percentage of net sales. For the third quarter of 2018, total operating expenses as a percentage of net sales were 26%, down 190 basis points from the prior year quarter. Our consolidated income from operations for the third quarter increased 30% year-over-year to $60.9 million compared to $46.7 million in the third quarter of 2017. In North America, income from operations increased 36% year-over-year to $56.9 million. In Europe, income from operations decreased 30% to $3.6 million compared to $5.1 million in the prior year period. Europe, income from operations for the third quarter of 2018 was negatively impacted by the late 2017 sale of Gbo Fastening Systems' Poland and Romania subsidiaries, which contributed $0.6 million in income from operations for the third quarter of 2017. As a result, our operating margin of 21.4% on a consolidated basis increased by approximately 360 basis points from the third quarter of 2017. Our effective tax rate decreased to 27.1% from 37.0% in the third quarter of 2017, primarily due to the US Tax Cuts and Jobs Act of 2017. Our consolidated net income for the third quarter was $44.4 million or $0.95 per fully diluted share compared to net income of $28.2 million or $0.59 per fully diluted share in the prior year quarter. Now, turning to our balance sheet and cash flow. At September 30, 2018, cash and cash equivalents totaled $167.0 million, an increase of $11.9 million compared to the balance as of June 30, 2018. As Karen mentioned, our inventory levels, as of September 30, 2018, were up by approximately $35 million compared to the same period last year as we began inventory in raw material in response to rising steel prices and limited availability. We remained debt free with only a small portion of capital leases amounting to approximately $3 million. As a result of our strong sales and focus on working capital management, we generated approximately $50 million in cash flow from operations during the third quarter of 2018. Capital expenditures were approximately $5.7 million for the quarter, including 1.3 million of capitalized costs related to the SAP initiative, compared to 2.4 million in the third quarter of 2017. We paid $10.2 million in quarterly cash dividends during the 2018 third quarter. We remain committed to returning a minimum of 50% of our cash flow from operations to our valued stockholders in the form of share repurchases and dividends on an annual basis. Over the past three years, we have returned approximately 80% of our cash flow from operations to stockholders. On October 22, our Board of Directors declared a quarterly cash dividend of $0.22 per share. The dividend will be payable on January 24, 2019 to the company's shareholders of record as of January 3, 2019. We also repurchased 357,465 shares of our common stock during the quarter at an average price of $67.28 per share for a total of $24.1 million. Subsequent to the end of the quarter, we repurchased an additional 528,100 shares of our common stock at an average price of $68.26 per share for a total of $36 million, bringing our total share repurchase activity year-to-date to total 85.5 million. As of October 29, 2018, we had approximately 65.4 million available for share repurchase through December 31, 2018, under our previously announced $275 million share repurchase authorization. Before we turn it over to questions, I'd like to discuss our outlook. As Karen mentioned, we are reiterating our full year 2018 benchmarks related to progress on our 2020 Plan, which include operating expenses as a percentage of net sales in the mid-28% range, a Europe operating income margin of approximately 5%, excluding SAP and severance costs, and a concrete gross profit margin between 38% and 39%. In regard to the additional components of our outlook, for the full year of 2018, we are narrowing our expectation for our consolidated gross profit margin to be in the range of 45.5% to 46.0% compared to our previous range of 45% to 46%. We are also reiterating our guidance for the following metrics. We expect our effective tax rate to be in the range of 26% to 27%, depreciation and amortization expense to be in the range of $39 million to $40 million, of which $33 million to $34 million is pure depreciation, updated from our previous estimate of $34 million to $35 million, and capital expenditures to be in the range of $30 million to $32 million, including $9 million to $10 million of maintenance CapEx. In summary, we are very pleased with our third quarter results, which resulted from a strong demand environment and were supported by the excellent work of our employees and their dedication to helping us achieve our strategic initiatives. Thank you for your time and attention today. We'd now like to open up the call for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Daniel Moore from CJS Securities.
Daniel Moore: First question, just a little bit more macro. Karen, when you described the demand environment looking out into Q4 is steady, maybe just elaborate on whether that indicates continued kind of low to mid-single digit growth. And just more generally, a lot of fear out there on the part of investors. So, what are you hearing and seeing from customers? Any evidence that rising rates are starting to take their toll on housing? Just your -- an updated outlook would be great, and a quick follow-up.
Karen Colonias: Sure. As you know, Dan, and as we've stated, Q1 and Q4 are traditionally a little bit slower in the building industry just from the standpoint of what's going on with weather conditions. We think as you look into some of the hurricanes that just hit in the South, that could put a little bit of pressure on new construction as they're working on sort of a clean-up and rebuild. We have seen at least a strong October at this point compared to where we were a year ago October, but we certainly always see typical type of slowdown from weather conditions as we get into Q4. From the standpoint of interest rates, I think there's always a concern whether we're talking about interest rates or labor availability, and we can just kind of continue to work -- what we're seeing so far is again a fairly strong October, and we'll have to just see how November and December plays out.
Daniel Moore: Helpful. Appreciate it. And then more micro. Great color on the -- your updated efforts in terms of inventories. I guess one, as you continue to work down inventories, are you seeing any push back for operational challenges? Number one, we're still confident there. And number two, maybe just quantify the impact if possible of your strategic decision to increase raw materials here in the short term.
Karen Colonias: Yeah. Great question. And as you said, we are working very diligently on certainly the elements of that inventory we can control. So we've got our SKU reduction, it is well underway. The lean initiatives that we've put in place at our plants have been very effective and efficient. I think you see that in that reduction of that finished goods and work in process, but certainly the concern about what we see from steel continuing into third quarter, we just want to be sure that we're covered from the standpoint of having inventory available to us. And so we don't want to make a bad business decision based on that inventory turn number, especially when we really want to be sure that we've got steel key element for us to have our business. So, we mentioned the increase that you see in the -- the inventory is predominantly from raw materials, and again that's just ensuring that we're going to have steel availability as we continue throughout Q4.
Daniel Moore: Lastly, and I'll jump out. Given you're already down below 27% OpEx as a percentage of revenue and the strides that you've made, does the 2020 goal start to feel a little conservative, or are there incremental expenses and investments that we should be thinking about that might offset some additional gains going forward? Thanks.
Karen Colonias: Yeah. Great question. And again, I would want to certainly complement everyone at Simpson. I mean, everyone has done an excellent job of looking at their departments, and where the opportunities were to take cost out of their departments and out of that SG&A, and we've been very aggressive with that target. I think it's a little bit too early to be recasting anything from the 2020 standpoint. As you can see, we've done a really good job of holding that SG&A not only at a percent basis, but also in absolute dollar basis. So, that's really a complement to everyone here within the company that’s had that within their targets.
Operator: Our next question comes from the line of Tim Wojs from Robert W. Baird.
Tim Wojs: I had a couple of questions just to kind of run through here. I guess, in North America, is there any way to think about how much of the 12% growth in the quarter was price versus volume?
Karen Colonias: You have that?
Brian Magstadt: Yes. We don't have the specific breakdown. It was a bit of both, volume and price.
Tim Wojs: If I said half and half, would that be kind of in the ballpark?
Brian Magstadt: I think so. I mean, give or take a little bit, I think that would be about right.
Tim Wojs: Okay. And then just on the SG&A guidance for the year, the 28.5% of sales. I think year-to-date, you mentioned you're about 27%. So, it implies a pretty substantial uptick in the fourth quarter, and I think there might be some seasonality there, but I guess what kind of upticks in the fourth quarter there for you guys in the SG&A side, especially since I think you had some restructuring charges to that line last year?
Brian Magstadt: Tim, you're right around this. You're correct about the seasonality, and then also we've got success-based fees from consultants that we're projecting for the balance of the year. And as we look at wrapping up the year in the activities associated with our SAP implementation and the like, modeling out some there as well.
Tim Wojs: Okay. Got you. And then the difference between the two product businesses, so concrete has grown, I think, close to high teens in terms of growth rates this year. And in the third quarter, the wood product business kind of decelerated to kind of 6% growth. What -- was there anything particular there that's worth calling off? I think, it's been kind of mid-teens over the last prior couple of years.
Karen Colonias: Well, Tim, I'll chip in. On the concrete space, as we mentioned, we've been very active on our mechanical anchors, being able to set some additional sales there in the Home Depot, in addition to the 8 foot sets that we're working on. So that’s certainly helped. The other thing we're seeing in the concrete space is some of our jobs that we do on the carbon fiber are very significant in size and we're having some nice improvements in that area, so those have contributed. I think on the wood side, as we've talked about, even though we are pretty steady here and solid in October, as we looked into second quarter, you've got hurricane issues, and even those happened sort of late in the quarter. It's the prep that's going on. So, it's not only just when the hurricane hit, but it's the weeks -- we preparing for it. I think that's really what you're seeing.
Tim Wojs: And then last one, just on the inventory, the raw materials, was that kind of a one-time thing in the third quarter or do you expect that to kind of continue into Q4?
Karen Colonias: No, I think, as you look at that, we wouldn't expect a big -- another big swing in Q4.
Operator: Our next question comes from the line of Steve Chercover from D.A. Davidson.
Steve Chercover: So, yeah, congratulations on the progress you’re making towards the 2020 initiative. I guess my question is, first one, somewhat along the same lines with respect to the growth. I mean, so you indicated it's part price and part volume. I mean, first of all, would price even be lumped in with organic growth?
Brian Magstadt: Well, when we had an issue, when we put out our initial 2020 targets, we did not project or put in price increases into those numbers. So, when we had that CAGR through 2020, it was an organic volume and market share based projection without price. But when we think about that number, it's more around, are we buying businesses and adding revenue via acquisitions, and the intent then was to indicate that that goal did not include any acquisition-related revenue.
Steve Chercover: And evidently, the deal that you did earlier this year for LotSpec, I mean, that's a software deal. So, maybe we shouldn't expect it to have traction immediately, but did that contribute anything?
Brian Magstadt: Not material, that was primarily acquisition of an asset of the software and the developer.
Steve Chercover: So, is there a bit more pending from that 11.5% wood connector price hike that we should see in Q4?
Karen Colonias: Yes. Hi, Steve. I think as we mentioned, you know, the -- we would anticipate we didn't get 100% of that in Q3, and we would anticipate seeing 100% of that by the time we get to Q4. I would reiterate that the 11.5% price increase was only on US connector business. And just as a clarification point, again we got substantially -- got the substantial amount of that 11.5%, but not the full percent, full 100% of it.
Steve Chercover: Okay. I'll switch gears then. So, with respect to the repo, and I'm not trying to say uncritical, but you bought back about $60 million worth of stock, about $12 higher than the current share price. So, I'm just wondering, with the remainder of the authorization or perhaps any subsequent authorizations, will you be more opportunistic or nuanced?
Karen Colonias: Yes, I mean, I think we would have to take a look at what the opportunities are for the cash as we've always said, and would be opportunistic when we look at stock purchases.
Steve Chercover: And then final question, and this is kind of a bigger picture question. But, have you been paying attention to the emergence of mass timber construction, have you been partnering or doing research with any of the guys who are doing that cross laminated timber?
Karen Colonias: Yeah. Great question. Certainly something we're seeing in the industry is the cross laminated timber. We are engaged in research projects with cross laminated timber at a couple of different universities, and there is also a couple of large companies that we are engaged with our product and doing some R&D projects with them. So, we have our engineers working very closely in that space.
Operator: [Operator Instructions] Our next question comes from the line of Julio Romero from Sidoti.
Julio Romero: So, just wanted to start high level, I guess, what are the organic growth drivers in your 2020 Plan? Is that mid-single digit range for housing starts [Technical Difficulty] in the quarter were up 3%; year-to-date, I think they're about up 6%. But in the South and West, they've always been a little bit higher. I mean, is this run rate kind of good enough for your 2020 Plan or do you kind of need -- do you need high single-digit growth in the south and west for you to hit your targets?
Karen Colonias: Yeah. Julio, that’s a great question. As we mentioned, third quarter over 2017 third quarter of about 3.5%, and I think you mentioned for the year about 6%. We've mentioned, as we will always put more content in those houses, if they're in the southern parts of the states and certainly the western part of the states. So as you look at the single starts in those locations, they become predominantly a bigger market opportunity for us than some of the other areas. When we looked at our 8% compounded annual growth rate, we did look at mid-single digit sort of as a generic number, not specifically needing a certain target in any of those particular regions, but really staying fairly consistent with how the housing starts had gone over the past.
Julio Romero: Got it. And we've certainly seen housing affordability concerns. If there is a mix shift in the industry towards kind of lower price point homes going forward, how does that shift -- how do you see that shift translating into your business given your value prop of high service, high delivery? Just trying to parse out the effect on your business.
Karen Colonias: Yes, I mean, specifically, we would see, if we were looking at a lower price point house, whether we're talking about a smaller square footage, an entry-level type of house, again for us, it's really key where that house is located. So, even if you have a more entry-level type house from a size standpoint or a pricing standpoint, if it's built in those western and southern areas, it still has to meet the engineering design for those seismic and high wind concerns. So, we would still see higher volume of product that we would put in those types of locations. So, it's really a function of, as I mentioned in the past, where those houses are built is a function of how much content we'll put then in.
Julio Romero: Okay. And maybe just a last one here. So, I understand you used your big steel consumer and you sourced a pretty good portion of it domestically. How is that playing out with rising steel costs and the NAFTA renegotiation, are you seeing any import competition for certain product lines? And if so, how much of the product line would be at risk to that import competition?
Karen Colonias: Yes, so we predominantly buy all of our steel domestic from US steel manufacturers. So, we don't bring in from Canada or Mexico. So, NAFTA is not really affecting us there. As I mentioned in the past, these tariffs have really allowed the US manufacturers to increase their price and put some steel on allocation. That's really what we're seeing and why we are ensuring that we have both steel again from pricing as well as availability standpoint. I think not quite sure what our competitors are doing from a steel standpoint, don't really know where they buy the steel. But as you look at what's happened in the tariffs, it's really kind of made it an even playing field whether you're bringing -- buying US or you're bringing in importing.
Operator: Thank you. Ladies and gentlemen, we have no further questions in queue at this time. And this does conclude our program for today. You may now disconnect your lines at this time. Thank you for your participation and have a wonderful day.